Operator: Good morning everyone and welcome to the Thule Group Interim Report Q1 2024 Conference Call. My name is [Indiscernible] and I'll be coordinating your call today. [Operator Instructions] I'd now like to hand over to Mattias Ankarberg, CEO and President, to begin. Mattias, please go ahead.
Mattias Ankarberg: Thank you and welcome everybody to this Q1 conference call. I am here with Toby Lawton, our CFO, as usual, and we will talk through a presentation available on our website or on the webcast and then we will follow with questions. So, starting on Page 2, we're happy to see a good start to the year of 2024, 8% sales growth in currency adjusted with Europe and the rest of the world continuing to perform a bit better than the Americas. Bike-related drives growth for us, new products drive growth for us, and RV products continue to decline. We have a very good gross margin, flat versus previous year and at a high level compared to historical trends for the first quarter and also the EBIT margin is in line with last year at 17%. Then this is considering that we are, as you probably are aware, in the most intense product launch year and season in the Thule Group history. Continue to see good development in inventory reduction and in cash flow from operations, and we have a target to reduce inventory of a further SEK200 million this year, and we are on track. Some highlights worth to mention, already from the start, is our well-received product launches, which we will come back to more, too, of course. We continue to expand our D2C channel to more markets and we've added one more this quarter to the Czech Republic. And we've also received more product design awards than ever before in Thule history, which we are, of course, happy and proud of. Move to Slide 3. On Slide 3, we can also see that it's nice to see that on a rolling 12 basis, we are also back to growth. Thule has had a long history of both sales and EBIT growth for several years. And then, of course, we had a big boost during the pandemic and a decline that followed that. But now we see the better second half of 2023 and a good growth in the first quarter of this year. We can see that on a rolling 12 basis, last 12 months, we are growing and net sales amount to SEK9.3 billion with an EBIT of SEK1.5 billion and an EBIT margin of 16.5%. Turning to Page 4. In addition to what I described as a generally cautious market, we see some specific drivers of our sales trends this quarter, and I alluded to them in the beginning. We continue to see bike-related products driving growth for us, new products driving growth for us and RV to decline. But to go -- since we are a product-oriented company, we'll go through this and see how this plays out through our -- across our four product categories for the quarter. So, starting with our biggest product category, Sports&Cargo Carriers, we clearly see a good uplift from bike-related products. In the quarter, net sales increased by 16% compared to previous year, adjusting for foreign exchange rates. We continue to see a good development in the premium end, particularly of bike-related products. Inventory levels for bike retailers are still challenged in the bike industry as a whole, but for the Thule products, the Thule end of the market, we see healthy inventory levels again, particularly in Europe. And we also see that new Thule products drive growth also in addition to the general market recovery. For example, our most premium bike carrier, Thule Epos, launched during Q2 last year, continued to drive growth for us also on an annualized basis. Most subcategories actually within Sport&Cargo Carriers are doing well in this quarter and particularly so in the Europe and rest of the world region. Within Packs, Bags & Luggage, we continue to see good growth, just like last year and also many years before of the Thule-branded products, whereas our legacy products, as we call them, OE and other historical products, categories that we are exiting, of course, continues to decline. So, we also see very good performance in our Thule-branded products from some specific product launches. We have launched an updated collection of our best-selling luggage collection Thule Subterra, Thule Subterra 2, which has been very well received and really helped growth in this category in the quarter, and also updated collection for our most popular duffle bags, Thule Chasm, which also is doing well in the quarter. In addition, we note that bike-related products, bike-related bags, that is, do well also in this category in the quarter. Turning to the next page, Page 5, and continuing with the product category number three, Juvenile & Pet, has been a focused category for us for this quarter with several product launches and see good growth of plus 9% compared to previous year. We see very good growth in strollers, very much driven by our newly launched best-selling, all-terrain stroller, Thule Urban Glide 3, which has been very well received in the market and by consumers. Now, also available in a 4-wheel edition and driving really nice growth in this category for us in the quarter. We've also launched our first product within dog transportation, our Dog Crate Thule Allax, which, of course, also contributes to the growth in this quarter. So, nice to see a positive development of plus 9% in Juvenile & Pet. And then just as in previous two quarters, RV products continue to decline as the industry continues to go through a weaker period. And as a reminder, RV Products is the segment or Thule's only segment where we have exposure to a historically cyclical sector. And we note that the industry is still going through a tough period, but our sales is declining less than it did during the autumn. So, as customers build up inventory ahead of spring season that helps us for the first quarter specifically and the sales development was minus 5% versus previous year. In addition, on the next page, we'd like to highlight the number of -- the record number of product design awards that we had received at the beginning of 2024. We are, of course, proud of our product as a product-oriented company. And there are two major product -- international product design awards, iF Design and Red Dot Design. And throughout history, Thule has previous years combined received 29 awards. And this year alone, we have received another 23, which we are, of course, really proud of. And we -- I'm also personally really happy to see that we get design awards both for updating existing best sellers and for new products in new product categories that we are launching already this year. So, several good awards and recognitions to our very strong product development team, who are well deservedly recognized. We also see, if you note, particularly two special awards, both from iF Design Gold Award and the Red Dot Award for Best of the Best to our all-terrain stroller Thule Urban Glide 3, which as I just mentioned, also performed well in terms of sales. And with that, I hand over to Toby to cover financials.
Toby Lawton: Thank you, Mattias and good morning everybody. So if we turn to the next slide on the income statement. And here, you can see the last four quarters on the left of last year and then quarter one 2024, the right-hand column, which I will focus on. And starting with the top line here in net sales, we saw, as Mattias has already presented, a growth of close to SEK200 million in net sales, which was an FX-adjusted growth of 8%, so organic growth of 8% in the quarter. Gross margin, which you see on the fourth line, gross margin was 41.2%, the same level as we had quarter one last year. And here, we have some positive effect from favorable product mix. When we are strong in bike, we also -- that is a favorable product mix for us. We have some lower material costs versus Q1 last year, also positive. And then we have a negative effect from what I describe as unfavorable production overhead absorption, and this is really the impact of the fact that what we're selling now in quarter one 2024 was produced during 2023. Typically, products take six months to get from production to the market or through inventory and to sales. So, there is some time lag. And during 2023, we had relatively low production levels as well. So, that impacts production overhead absorption. When it comes to the EBIT margin, you can see we are on 17%, close to the same level as year. And here, we have a higher gross income, which is generated by the higher sales and the gross profit on the higher sales, which is good. And then we have a higher selling and administration expenses of SEK50 million in the quarter versus quarter one last year, which is as expected and as we've talked about, where we have higher cost supporting the new product launches, which are happening this year, and that's an effect we expect to see during the first half of this year, as we've previously talked about. Then finally, just going down, the tax rate is stable at 23.7%. And then net income for the quarter is SEK300 million. If I turn to the next slide, we're showing the cash flow. And here, at the top, I've shown the cash flow from operations before changes in working capital. And here, you can see we had SEK390 million in quarter one, so a good cash flow generation from operations in quarter one. We then have changes in working capital, where we have a seasonal increase in working capital in quarter one. The biggest impact here is from accounts receivable, where we have an increase of SEK519 million in quarter one, and this is basically because of the growth in sales during quarter one with the seasonal impact, which will be collected then during quarter two. And then inventories, where we've seen a good reduction in quarter one of SEK173 million, so we're on track towards our target for the year to reduce inventories by a further SEK200 million on top of the SEK800 million we reduced in 2023. Then underneath the cash flow from operations, I've just also shown the line for CapEx and what we've invested in the quarter. So, we invested SEK32 million in quarter one. And those are all the main impacts that are impacting our net debt. So, in total, if I make a subtotal there, you see we had positive SEK57 million in quarter one. So, our net debt is basically stable at the end of quarter one versus the end of last year, just over SEK2 billion, and then, net debt to EBITDA margin is also stable at 1.1 times. So, with that, yes, I'll hand back to Mattias.
Mattias Ankarberg: Thank you, Toby. Turning to some forward-looking views on the last two pages of the presentation. We're now on Page 9. This is the most intense product launch year in Thule's history, and we are pleased that it started well, but there is much more ahead. And as a reminder, we are launching three types of products this year. We are upgrading several of our bestsellers, we are launching innovations in existing categories, and we are entering two new product categories. So, in Q2, we will continue to upgrade several of our bestsellers. We will or have launched now in April, a new generation of the world's most sold rooftop box, Thule Motion. We will launch a new generation of our best multisport and child bike trailer, Thule Chariot. And we will continue to expand our bike carrier portfolio while launching a North America-specific bike carrier, we call, Thule ReVert. We're also looking forward to see two new innovations in existing categories in the coming two quarters. This quarter, we will launch Thule Outset, which is the first -- world's first tow-bar mounted tent. The tent transport rear of car, good development from the rooftop tents that we have already had success in. And in the third quarter, we will see a real innovation in the RV segment, Thule Sidehill, which is the world's first removable awning. We are also entering two new product categories this year. We have already -- the first category is dog transportation. We've already launched the first product, the Dog Crate Thule Allax in Q1, which has started well. And in Q2, we launched a second product, Thule Bexey, which is the first dog bike trailer from us. And also, of course, notably, in Q2, we will launch our car seats for the European market, which we are -- have prepared for, for several years. We are now product certified, production has started, and we will see the first products in Europe's biggest market in Germany in about a month's time. Wrapping up on Page 10, our focus going forward. Well, we are continuing our long-term growth strategy. Nothing has changed. And we are fortunate to have many strengths to build on for the future. We continue to see a long-term trend of people wanting to live -- more people wanting to live active lives, which gives us tailwind. We build on very strong market positions. Having global market leadership in our most important product categories, we continue to invest a lot in innovation and quality for future growth. We do see a still challenged market in 2024 with cautious retailers and consumers. And beneath that some specific drivers, which are positive for bike and negative for RV, and we continue to expect this to remain, these trends, for the coming period. Our priorities, which we have commented on earlier, have not changed. Our focus this year is clearly on sales growth and reducing inventory further, as Toby commented on. We keep focusing on product development with more launches than ever before. We are entering more categories with two new categories in 2024. We are working on being more visible to the consumer, to show more and to continue growing D2C and to continue to improve our efficiency in our supply chain, both reducing inventory and discontinuing some external warehouse services, which will help reduce costs. What is -- so none of that has changed. What has changed in the short term is that its peak season ahead, which is, of course, intense and exciting times for us. We are in the second quarter having most intense sales quarter, most intense production quarter, and our most intense product launch quarter. And although the market is still tough, we are happy to see that new Thule products continue to drive growth and also get good energy boost from being recognized also externally with design awards for our many new products. So, that summarizes and concludes the presentation, and we will now turn to operator to manage questions.
Operator: Thank you. [Operator Instructions] So, our first question today comes from Fredrik Ivarsson from ABG. Please go ahead.
Fredrik Ivarsson: Morning gentlemen. I have three questions. I'll take them one by one. So, first one on bike related, which was up in the quarter. I guess, is that Sport&Cargo was up 16%. So, is that an okay number for bike-related products as well? Or was that even stronger?
Mattias Ankarberg: On bike-related products, we have bike-related products in several of our product categories. And actually bike-related bags do well within our Packs, Bags & Luggage category. And bike-related actually does well within RV as well. Bike carriers for RV in another -- except that challenging RV market. And bike-related in general is stronger than the plus 16% you have described for Sports&Cargo Carriers. That is the entire Sports&Cargo Carriers, and bike is standing out driving that growth.
Fredrik Ivarsson: Yes. Of course, historically, it has been a decent approach, I think. But okay, strong enough, 16%, but you don't want to give an absolute number, I guess, I suppose?
Mattias Ankarberg: Correct.
Fredrik Ivarsson: I have to try. Second question on the product development costs. How much of the planned SEK600 million did you do in Q1? And what will that sort of phasing look like throughout the year?
Mattias Ankarberg: So, we are, as you mentioned, Fredrik, having a high level of product development costs also this year, of course, natural since we are launching so many new products this year. And as commented before, it will be tilted towards the first half of the year. And as a reminder, we also take product development costs as SG&A costs and even so taking tooling costs. I mean, that is tools that fit in our own factories to produce the product as SG&A. And as we are now, after close to six years of work, launching car seats in the second quarter, of course, there is a series of costs connected to that launch, for example. So, we will be heavily tilted towards the first half of the year for the product development costs.
Fredrik Ivarsson: Yes, got it. And then will Q1 and Q2 be sort of equal or was Q1 the peak?
Mattias Ankarberg: No, it really follows the product launch trend, more or less, you could say. Of course, the development costs are different by type of product. But as we're launching more products in Q2 than we do in Q1, and also particularly, we are launching car seats in Q2, which is a big cost, to put it in simple terms, you can expect Q2 to be clearly higher in product development costs than Q1.
Fredrik Ivarsson: Okay. Thanks. And last question from my side. If you could say anything about the performance in the U.S. markets. To me, it looks like the underlying sales development has been sort of declining for a few quarters, and that's despite the quite strong consumer markets and also the recovery in bike-related, so can you say anything about the U.S. markets and what's going on there?
Mattias Ankarberg: Yes, absolutely. No, you are right, Fredrik. We have, for several quarters, seen a weaker development in U.S., in general, in the market and for us, we do see a little bit of an improved trend sort of quarter-on-quarter. Now, we're plus 3% in Americas for this quarter. But we feel that a couple of points around that. On one hand, I guess the U.S. consumer market in general is a little bit of a maybe anomaly, economy is strong, but consumers and consumer products struggle. Outdoor space still is challenged with quite a few retailers being challenged, doing layoffs, restructuring and some even bankruptcy. Bike industry has had higher inventory levels and still has higher inventory levels in the U.S. specifically. So, things are moving in the right direction in North America and the U.S., but are behind the development in Europe with a couple of quarters.
Fredrik Ivarsson: Perfect. Thank you so much.
Operator: Thank you. The next question is from Daniel Schmidt from Danske Bank. Please go ahead.
Daniel Schmidt: Yes, good morning Mattias and Toby. A couple of questions from me. And I just wanted to start off with sort of very impressive when it comes to the amount of design awards that you've received. And I guess it's really a testament to the elevated product development spending that you've been having over the past two years that it's coming through in very good products, at least when it comes to these design awards. But do you have any sort of history in terms of the correlation between the sort of the reception of a design award and the success in the consumer market? Clearly, you seem to be quite happy with Urban Glide 3.
Mattias Ankarberg: Yes. Thank you, Daniel. We are really proud, and you're completely correct, our investments and spend has paid off. And on top of that, I'm very proud of the team. I think, it is doing a fantastic job and are well worth the recognition. And we have looked at the same question as you described. And the honest and transparent answer is that it varies. Sometimes you get design awards for a bit more niche products that maybe are not as commercially important as others. But of course, in general, our learning is that it's positive. I mean, we have -- particularly when you look at best-selling products, that you upgrade into a new generation, and then you get sort of a -- almost stamp of approval that the design works with the most recent and modern trends, then that gives more boost to that. Plus also, we should remember, this also, of course, gives us a good uplift in PR and create visibility, which in itself is helpful to support the launches.
Daniel Schmidt: And especially, I assume given that you've received it also in dog crates and car seats, which are new product areas for you. I guess that's welcomed in that sort of PR aspect, of course.
Mattias Ankarberg: Very much so.
Daniel Schmidt: Okay. Yes. Just coming back to demand from another angle. Do you think that sort of some retailers might have gone too far when it comes to destocking? I know that you're quite happy with the levels that you now have in terms of inventory out there among retailers in your particular sort of segment. But we had commentary from XXL the other day saying that limited product availability and sort of inventory actually hurt their sales in the quarter.
Mattias Ankarberg: Yes, I'll answer that question in two ways or two comments. I think -- or as a backdrop, we see that retailers are cautious, to your point, Daniel. And also one example of that is that they are ordering smaller quantities more frequent and closer to season starts, so to speak. And I would agree with you that, that typically means that retailers who are cautious and focusing on cash plainly miss some sales opportunities. I have to say I don't believe that is really the case for Thule products. We are -- we operate the supply chain, which is -- I used to call it retail alike. We have premium products, premium prices, but also premium service. So, we are -- and we have factories and warehouses close to our biggest market and customers. So, our customers are used to having deliveries on a sort of one to two-day lead time. And I would be surprised if they would quote product availability as an issue for them when it comes to Thule products.
Daniel Schmidt: Okay. Yes. Okay. Good. Just coming back also to product development spending. And it's been very clear that it's going to be tilted towards the first half of this year. But do you still want to sort of stick to your full year guidance in terms of flat year-over-year or how do you see it?
Mattias Ankarberg: Yes, that's still the view.
Daniel Schmidt: Yes. And when it comes to the inventory drawdown that you've communicated of SEK200 million a quarter ago, it seems like you've done SEK100 million already in Q1. Is the coming SEK100 million is going to be more evenly spread through the rest of the year? Is that also going to be H1 tilted?
Toby Lawton: Yes, we expect that to be spread through the rest of the year. But I think we're pleased to see we're well on the way to the target in quarter one, absolutely. So, we're confident of hitting our target there.
Daniel Schmidt: Yes. Good. And just a couple of smaller questions. Sort of many of your peers have complained about Easter being early this year having a negative impact on invoicing days basically in Q1. Have you experienced the same? Or is it less relevant for you?
Mattias Ankarberg: No. But we, of course, have the same dynamics with invoicing days and other sort of more, I should call it, short-term effects that happen. But we are in 138 markets and many product categories, et cetera, and we try to focus on the bigger points. And for us, the drivers around bike and RV and new products are much more significant than invoicing days. But yes, in principle, that effect is for us also, but not as material compared to the bigger stuff.
Daniel Schmidt: Okay. And just two short ones still. I think you had a recall in the quarter or maybe the start of this quarter on child bike seats. Did that have any material impact? And then secondly, what's really left in terms of sales that are related to legacy bags?
Mattias Ankarberg: Yes. So, -- yes, we have a recall on the child bike seats, you're correct. I know you want to comment on the financial aspect, Toby.
Toby Lawton: No, but it's not material on a group level. But it's a voluntary recall in child bike seats, yes.
Mattias Ankarberg: Yes, and then on the second point, Daniel, please, could you repeat the question?
Daniel Schmidt: Now, just sort of you commented upon it when it comes to Packs, Bags & Luggage, and you have this legacy bag business, which is structurally declining and been doing so for a very long time. I just wonder where we are now in terms of how much revenue is coming out of that currently on a 12-month rolling basis.
Mattias Ankarberg: Yes. No, you are completely right, it's gone down for quite a while. And it will probably surprise all of us on the call how many CD wallets and camera bags are still sold at least in the U.S. market in some ends. But it is, of course, clearly smaller now. And I don't want to give an exact guidance for when they will disappear, but we are not as impacted of it as a company-wide perspective anymore. But within the Packs, Bags & Luggage category, specifically, it's notable, the decline.
Daniel Schmidt: Yes, thank you. That’s all for me. Thank you guys.
Operator: Thank you. The next question on the line is from Adela Dashian from Jefferies. Please go ahead.
Adela Dashian: Good morning. One question on the dog transport products. Is it possible to get an understanding of what the contribution was for that category during the quarter?
Mattias Ankarberg: Morning. We don't give specific numbers for specific products. But as you may have noted, we gave the quarterly growth number for the product category, Juvenile & Pet, which had a good development of plus 9%. And that is, of course, due to several factors, both, for example, strollers and/or products. But I think more generally, we could comment that sometimes, we get questions focused on now you launched this product in this quarter, you must have seen a great growth, but of course, when we enter new product categories, it's a long-term development to get to where we want to be. So, it's clearly a contribution in the quarter. But in order for us to reach where we want to be, it's going to take time. What is nice to see on the dog crate specifically, the first number one product, it's been well received, both from a design perspective, as we talked about before, with the design awards on some consumer tests already, got good distribution. We see some of the bigger pet stores in Europe are now introducing it to all of their stores and even replacing some competitor products, so it's a nice start.
Adela Dashian: Yes, that was actually going to be my second question, if it's fair to assume that the volume buildup here will be gradual and if so if you have any kind of timeline on where you expect it to actually start to contribute more materially, but it sounds that you're -- that's what's going to happen throughout the year?
Mattias Ankarberg: Absolutely and then also over years. And also a nice addition for the dog transportation growth initiative is the second product, which is coming now in quarter two with the dog bike transportation.
Adela Dashian: Yes. All right. Makes sense. And then on RV products, that segment is continuing to face headwinds. When you're in dialogues with your customers and other market signals that you're seeing, what's the -- I guess, when should we expect an inflection point here? Is it fair to assume that already by the second half of the year, that segment will start to post some positive growth figures or is that too early?
Mattias Ankarberg: Yes. So, our view there has been the same now for a couple of quarters, and it stays the same. So, if you look back, and just to give you the backdrop in history, of course, this has been the exposure to a cyclical segment. And the last downturn, so to speak, lasted a bit more than two years. And for a number of reasons, we would expect it to be about one year this time. We started to see the decline in Q3. And we've said for, I think, two quarters now that we do believe it's going to be challenging for the first half of this year. But if things play out the way we believe they, and hope they, will, we could be back to flat or maybe even a small positive during the second half of the year.
Adela Dashian: Okay, that’s all for me. Thank you.
Operator: Thank you. [Operator Instructions] Our next question is from Mats Liss from Kepler Cheuvreux. Please go ahead.
Mats Liss: Yes, hi. Good morning. Thank you. Well, a couple of questions here. First, regarding -- well, just to get a feel of the strategy behind the launch of the car seats here, which markets you are sort of addressing first and what segment, I guess, is premium segment, but if you can share some views there?
Mattias Ankarberg: Absolutely. So, we are entering the, first of all, European market now in Q2 in about a month's time. We're coming with a base, an infant product and a toddler product. That's the segment we're addressing. We are clearly positioned in the premium end of the market. We believe we have -- and we have a lot of respect that there's some good competition in this segment. But we believe we are coming with a very strong Thule product with easy-to-use, well-designed, all of that, but also really put safety in the center in a number of ways. We will launch this product in Europe gradually throughout -- well, at the start of this quarter, then the coming two quarters. And we start in Europe's biggest market, Germany. And the reason for that is because it's the biggest market, but also there's really good premium distribution in Germany. Several retailers, which are very focused, I would say, less on selling car seats and more on child safety. And with us coming in on the premium end, premium product, we would like to also start with the premium distribution. So, that is the strategy.
Mats Liss: Great. Thank you. And then, I mean, the bike-related products are recovering, and that's, of course, important for you. And if you also talk and share some views about the historical performance there, I mean, compared to during the pandemic, et cetera, is it the same -- do you see the same -- feel the same momentum? Or -- well, that's my question.
Mattias Ankarberg: So, I think I have to separate a little bit the market in general bike-related products and for us specifically because I think we are in the premium end of the market, and that end of the market is doing better than in general. But if you look at our perspective, you could say, to your point, there was a really big boom during the pandemic during -- of bike-related product and a really big decline. And now, of course, we are meeting some of that lower numbers. But we see volume and activity related to our premium end really picking up, but still not to the level where we were pre-pandemic.
Mats Liss: Great. And the same sort of question also. I mean, this first quarter is important, especially towards the end of the quarter there, retail interest and so on. Is it just similar message there? I mean you see a momentum, but it's -- well, maybe not at the same level as previous peaks?
Mattias Ankarberg: I'm sorry, I lost you a little bit. Could you repeat the question, please?
Mats Liss: Yes, I mean the first quarter is an important quarter for you to selling in products towards the, well, selling season. And the retailer interest, I guess, can you share some views there about the historic because nowadays sort of posting smaller orders? Or are they sort of more, trying to ask the XXL question previously, trying to restock somewhat this time?
Mattias Ankarberg: Thank you. No, I heard. The line was breaking up before, but now it was clear. Thank you so much. No, I think we clearly see a cautious sort of behavior from retailers. And a good example of that is smaller order quantities, later orders closer to the sort of cease or expected cease and kickoff. And we see that behavior continuing. So, I think -- and it's a tough consumer environment in many ways and sectors, and the retailers are acting accordingly.
Mats Liss: Okay. Thank you. Thank you very much.
Operator: We have a follow-up question from Daniel Schmidt from Danske Bank. Please go ahead.
Daniel Schmidt: Hi Mattias, again. Just a follow-up from me. Are you sort of -- I think you've touched upon it before, actually, maybe in connection with the Q4 and the Q3 report? But given the level of new products that are coming out in the market this year, which is a record amount, and you're also receiving all these awards. Is that a function of -- is this implicitly driving to -- more towards sort of premiumization of the assortment, you think? Is this changing the sort of the perception of the assortment a bit? And you also talk about going -- very important to go with premium distribution in the German market, and that's a good market to start with and so on from a European perspective or am I getting it wrong?
Mattias Ankarberg: No, you are -- thank you, Daniel, you are getting it right, but it's maybe a smaller shift or sort of than -- it's not so dramatic, I guess, is what I'm saying. We are clearly on the journey to drive more and more premium products. But if you look at the market and sort of classify very simply any kind of product category into good, better, best products, we would like to play in best and better and not good, so to speak. And we do have opportunities, we feel, in these days, particularly where the premium consumer is a bit less negatively impacted probably by the environment to continue to play even stronger in the premium end of things. We also want to be very strong in the best, sort of better, so better and best. But also to your point, Daniel, when we launch something completely new, when we come in with car seats or dog transportation, we want to show our best foot -- put our best foot forward, so to speak. And it's important for us to come in at the right position in the market. And I am in many ways more occupied by us getting a good start in the sense of a well-received and the right place start than fantastic sales numbers for the first couple of months. So, when it comes to new product categories, we push that premium positioning extra to make sure we get a good start.
Daniel Schmidt: Yes. Yes, but I think this is sort of you -- that's my feeling at least that that's a bit more accentuated than it has been before, at least. And a second question on D2C. You launched Czech Republic, and you seem quite happy with the development. I think you have wrote that it's growing. Are you sort of expecting -- and it's, of course, impossible to have a strong view, I assume, but given that you know a lot more about the product launch or the country launch program than I do, are you expecting to have a sort of a fairly linear development of direct-to-consumer in percentage of sales for the group in the two years?
Mattias Ankarberg: Yes. It's, as you say, Daniel, so many factors impacting that in terms of market launches and also different categories play differently in different channels, et cetera. But from a very big point of -- a very big picture kind of point of view, yes is the answer. There's no dramatic effort to boost D2C earlier or later, et cetera. So, from a big picture, yes.
Daniel Schmidt: Yes, okay. Thanks. That’s all for me. Thank you.
Operator: Thank you. Our next question is from Gustav Hageus from SEB. Please go ahead.
Gustav Hageus: Thanks operator. Thanks for taking my question. Sort of relating to price points and whatnot, I was thinking a little bit more of a broader question. If I look back at the COVID years to the reported margins above 20% -- the target of 20%. And since then, you have rolled out all these initiatives, including D2C, which I assume would be margin accretive. You have launched products that are more automated in the production, high price points. I guess external price pressures must have come down a little bit since then. But could you remind us what were sort of the one-offs impacting the margins upwards during those years that might not necessarily come back when you reach those volume levels again? It would be helpful.
Toby Lawton: Hi Gustav, it's Toby here. But I could say one big impact when the sales were high during the pandemic peak was we had a significant leverage on SG&A costs as well, which obviously drives margin improvement. So, I think that was one of the bigger factors. And you get some of that effect also in gross margin as well with the good production levels and good throughput in the factories during that period, so those are probably the two biggest factors.
Gustav Hageus: And the cost base is higher today than back then. And why is that?
Toby Lawton: Well, I mean, the cost base in Q1, we've talked about we see the impact of the new product launches coming through, so that's the biggest impact.
Mattias Ankarberg: I think it's important also, Gustav, to recognize--
Gustav Hageus: No, I mean, as a run rate versus the pandemic years. Is the cost base, the fixed cost base materially higher now compared to then? And to what extent does that limit your margin potential to come back to those levels?
Mattias Ankarberg: Well, to your point, if you step back and take a look at Thule, they are fixed -- we have production capacity where, of course, we continue to invest in automation, which we are not at all leveraging to the full utilization that we did previously. And the volumes are peaking up, but not there, right? And then our SG&A is to a large extent product development spend. We spent almost 7% of our sales last year on product development, and we could decide to stop that if we wanted to, it's sort of more discrete, but we are continuing to invest. And all of this, as you are talking about percentages or sales, are, of course, also in relation to the sales that we drive with our own initiatives, but the market environment. And I think we are -- remain of the view that we are still in a tougher market environment and definitely compared to the demand boost we saw during the pandemic.
Gustav Hageus: Okay. And a second question on pricing. Did I recall it correct today, you didn't do any broad sort of, the usual 1% to 2%, price increases outside of bags for the start of this year. And if you can discuss a little bit why that decision was made and if you expect sort of the historical pattern of price increases for the start of the year to come back now into the next season or if that pattern has changed somehow?
Mattias Ankarberg: Absolutely, you're right. If you look back in history, most categories where we're in or generally speaking, the industry is on an annual price increase cycle, which is Jan 1. This year, we chose to do flat prices for existing products for a number of reasons. Of course, we've talked about it on this call also, retailers are in a tough spot and would prefer the prices went down, and the input factors with salaries, et cetera, are coming up. But for us, it was a very straight and clear message that we're keeping existing products at the same prices, broadly speaking, since we're also launching so many new products this year. And of course, on the premiumization topic, new products, new generations of best sellers are at a higher price point than the previous ones. So, net-net, all things considered, there is an average net price increase in 2024. And then we expect to get back to sort of industry normal cycles in the years ahead, to your point, Gustav.
Gustav Hageus: But -- just a final follow-up on that, do you feel that the gap between Thule and alternatives for a consumer in terms of price spread in a -- far too much during COVID or is that a problem at all? Or do you feel comfortable in general with the price gap versus alternatives?
Mattias Ankarberg: It's very varying by category and sometimes by country. But I would say, in general, we are in a good spot. Where we have premium competition, I think we are in a similar relative comparison than we were before. We do have opportunities to address more of the, what I call, better products into a good, better, best or mid-segment, if you like, in some product categories. So, there, we think -- at a lower price point than our -- some of the products we have today, we could still gain some clear volume and some sales.
Gustav Hageus: Okay, perfect. Thanks for taking those questions.
Operator: [Operator Instructions] It appears we have no further questions. So, I'd like to hand back to Mattias for closing remarks.
Mattias Ankarberg: Well, thank you, everybody, for joining this call. Thank you, operator. Wish you all a good day, and look forward to speaking to you again at the Q2 conference call.
Operator: This does conclude today's call. You may now disconnect from your line and enjoy the rest of your day.